Operator: Thank you for joining Thunderbird Entertainment Group's Q3 2024 Earnings Call. Glen Akselrod from Bristol Capital will read the forward-looking statement disclaimer.
Glen Akselrod: Thank you for joining us. We're here to provide a corporate update and report on Thunderbird Entertainment Group's Q3 2024 results for the three and nine months ended March 31, 2024. Speaking on today's call are Ms. Jennifer Twiner-McCarron, CEO and Chair of Thunderbird Board; and Mr. Simon Bodymore, Thunderbird's CFO. Ms. McCarron will provide a strategic overview of Thunderbird Entertainment Group and Mr. Bodymore will review the company's financial Q3 2024. Following the corporate update and financial review, the call will open for a question-and-answer session [Operator Instructions]. Alternatively, if you have any questions, you can call 1-604-683-3555 extension 2, or email investors at thunderbird.tv and the company will follow-up directly after the call. At this time, all lines have been placed on mute to prevent any background noise. I'd like to remind everyone that the certain statements made on today's call constitute forward-looking statements or information under applicable securities laws. Forward-looking statements and information discussed on this conference call include, but are not limited to, adjusted EBITDA growth and Q4 being the strongest quarter, sustained growth and a return to historical profitability levels, Mermicorno resonating with North American Kids, future updates on the sales process using the NCIB opportunistically, yielding cost savings in fiscal 2024, additional revenue resulting from One Animation production, changes in total revenue, future updates from broadcasters and timing of filming new movies. Forward-looking statements are based on estimates and assumptions that while considered reasonable are subject to unknown and known risks, uncertainties and other factors, which are set out in the company's most recent management's discussion and analysis and other public documents filed under the company's profile on SEDAR. Although the company believes that the assumptions and factors used in preparing these forward-looking statements are reasonable, undue reliance should not be placed on these statements, which only appear as of the date of this presentation, and no insurance can be given that such events will occur in the disclosed time frames or at all. Except where required by law, the company disclaims any intention or obligation to update or revise any forward-looking statements whether result of new information, future events or otherwise. This conference call is being webcast live and the archive will be available on the company's Web site at www.thunderbird.tv following today's call. Please note that Thunderbird reports in Canadian dollars unless otherwise stated. Ms. McCarron will now provide the corporate update.
Jennifer Twiner-McCarron: Thank you so much, Glen. My name is Jennifer McCarron, and I am the CEO and Chair of Thunderbird Entertainment Group. On behalf of the company, I'd like to thank you for joining today's call to discuss Q3 2024. Thunderbird CFO, Simon Bodymore, is with me and we appreciate you taking the time to hear the company's earnings update. Once Simon and I are finished, we will answer your questions and provide clarity where needed. I subscribe to the old adage that you need to look back to move forward, and my role here is to lead and support Thunderbird's growth. And critical to this success is understanding how both the companies and the industries at large history, which can inform our strategy and serve as a motivational tool for our teams. For example, last year at this time, the Writers Guild of America elected to strike closely followed by the SAG-AFTRA strike. Major streamers were cutting their content budgets and several entertainment and media organizations were streamlining operational efficiencies. These, along with other headwinds, shifted and impacted the industry, and the way that it collectively moved forward, showing -- showcasing resilience, I think, tenacity and agility. Today, across the industry, the overall outlook is beginning to improve. Gains are being made. For example, Disney recently announced that the company's streaming business is close to profitability, which is a great thing and that the entertainment side of the direct-to-consumer division turned a $47 million profit in Q2. During the Netflix Q1 update, the streamer announced that it had exceeded quarterly earnings and revenue estimates. Paid subscribers also increased by 16% from the year earlier period. Though Netflix shared that it will no longer report paid membership starting next year as the company turns its focus towards growing profit rather than just growing its subscriber base. Amazon also revealed last month that its Prime Video service now has more than 200 million monthly viewers. Along with their streaming advertising, Amazon CEO, Andy Jassy stated that the company has increasing conviction that Prime Video can be a large and profitable business in and of its own. A rising tide lifts all boats and the success of Netflix and our other partners generates more opportunity for Thunderbird as a trusted provider of premium content to all the major streamers. The need for A+ content is here to stay, and Thunderbird, Atomic and GPM are widely known as the go to providers. Thunderbird has strong footholds in animation and unscripted content and a growing presence in scripted, and a solid licensing and distribution offering. During the earlier part of the year, strategic cost reduction measures were implemented to navigate these market uncertainties and pave the way for investment in future growth prospects. And our efforts to steer back towards robust growth are definitely paying off. We are delighted to share it that Thunderbird has not only achieved profitability for the second consecutive quarter but is also on track to fulfill our adjusted EBITDA target of more than 20% growth year-over-year for fiscal year 2024. As we've said previously, Q4 will be our strongest quarter this fiscal. And with clear insight into 2025 and '26, we anticipate sustained growth and a return to our historical profitability levels. Our management team remains steadfast in its commitment to maintaining a resiliency and a strong balance sheet and exercising prudent decisions to navigate evolving market dynamics, while diligently pursuing sustainable growth. Thunderbird's success is also underscored by relationship building and increasing awareness of our brands at key industry events. Atomic's head of production, Joel Bradley, recently traveled to Ireland to attend Animation Dingle, one of the premier animation focused events in Europe, to represent Canada and Atomic amongst an impressive grouping of animation industry leaders from Netflix, Disney, Pixar, BBC, you name it. The event lives and breathes the best aspects of what the animation industry is all about. Members of our GPM team are scheduled to attend the Banff World Media Festival, Content London, [The Real Stream Sentiment], the NAB Show and more. And in addition, Richard Goldsmith, President of Thunderbird Global Distribution and Consumer Products, will be attending the TV Kids Summer Festival in June as a panelist. Richard will be part of a session called the watching windows, where he'll join industry leaders as they discuss the current state of Kids TV sales market and how distributors are employing new strategies to maximize their business. Additionally, our Atomic team will be traveling to Annecy, France for the yearly animation festival, the largest animation market for showing casing talent, content and buyers worldwide. Finally, our Thunderbird brands team is also currently wrapping up a productive week at Licensing Expo, the world's largest trade show for licensing and consumer projects industry. They have met with many of the top toy, apparel, accessories and promotions companies in the US as potential partners for the company's third party acquisitions, Mittens & Pants, and [Indiscernible] [Boost New] and our owned IP, including Super Team Canada and Mermicorno: Starfall. Speaking of Mermicorno, the Thunderbird Brand’s team recently shared exciting updates with the announcement of additional platform and licensing partners. The first season of Mermicorno: Starfall will be made available in Warner Brothers, Discovery's streaming service Max in the US, LATAM, Latin America and the Caribbean, as well as Cartoon Network LatAm and Southeast Asia. The series has also been acquired by Narrative Entertainment's Pop UK and Corus Entertainment for Treehouse, Stack TV and Teletoon in Canada as well. Thunderbird Brands has also appointed the first international licensing agent for the IP. Corus Entertainment's Nelvana, a renowned international producer, distributor and licensor of children's animated and live action content, will represent the series in the Canadian market, covering all major categories outside of toys and publishing. Mermicorno has all the right elements for success from tokidoki's iconic style and Thunderbird and Atomic’s character driven series to Nelvana's retail and licensing expertise in Canada. With Nelvana on board and the US program well underwary, as Jazwares preps for a fall '25 launch at specialty retail, Mermicorno: Starfall is sure to resonate with the American kids. It's already a well known and beloved tokidoki brand. The genres we play in, kids and family and unscripted, also offer Thunderbird a level of stability. I've said it many times before, Kids content is the stickiest content, because families are less likely to unsubscribe. TV rev recently noticed that younger consumers and families remain a top target for all streamers, because this demographic is a reliably lower churn risk. In a report by Parrot Analytics, it was stated that children's programming is one genre that is consistent in high demand yet in low supply in the US. In fact, demand for kids programming exceeds supply on Disney+, Paramount+, Amazon Prime Video, Netflix, Hulu and Max. The report further details the value of the trusted kids brands like Disney, Cartoon Network and Nickelodeon, and highlights the potential of platforms like YouTube, calling it a go to destination for kids programming. When it comes to unscripted content for streamers, it can offer a cost efficient way to keep audiences engaged for a longer period of time as opposed to flashy scripted series. Throughout the pandemic and during the 2023 Hollywood labor disputes, unscripted television emerged, showcasing real world issues, uncovering new untold stories and highlighting a diverse range of voices and perspectives, which has become so important in the content creation industry. With scripted work now, however, is really coming back into the fold, which is great and the demand for unscripted work is anticipated to level out, but it should be noted it has secured its place with audiences worldwide. For our partners in kids and family and unscripted and in the other areas of our business that are steadily growing, we remain a reliable partner and resource for delivering A+ premium content, and we continue to be recognized for this across the industry. Recently, the nominees for the 2024 Leo Awards, celebrating achievement in British Columbia film and television were announced. Huge congrats to all the Thunderbird teams who received a combined 18 nominations. When we succeed, our partners succeed, therefore, reinforcing the strength and stability of our business and brand. We continue to have so much to be proud of and I can't wait to be sharing more exciting updates on the horizon. Before passing things over to Simon, I want to share that the sales process is ongoing, and I will share more updates as soon as I can. Our NCIB also remains in place and the company will continue to opportunistically use the NCIB as we assess the best use of our cash. And while we are in blackout from doing that at the moment, given the process and no automatic purchase plan, the purpose of the process is to close the valuation gap between where we're trading and what we think the business is worth and to create more shareholder value. Again, we'll give an update on the process when appropriate. And depending on the outcome, we'll adjust the strategy around capital allocation accordingly and quickly. I will now pass things over to Simon to go over the numbers. We'll then share specific updates from the teams before we move to the Q&A. Over to you, Simon.
Simon Bodymore: Thanks, Jen. And hello, everyone. I'll now take a few moments to walk through the financial highlights of the quarter. Revenue for the three months ended March 31st was $35.4 million, bringing our total revenue for the first nine months of the fiscal year to $113.5 million. This represents a $1.9 million or 5% decrease for the quarter compared to last year and a $15.5 million or 12% decrease for the nine month period compared to last year. Of the $35.4 million in current revenue, production services accounted for $32.7 million or 92% of [revenues]. This represents a 1% increase year-on-year. For the nine months period, production services revenue was $94.3 million, 83% of total revenue. Revenue from production services was 1% lower for the first nine months of fiscal 2024 compared to last year. This revenue consists primarily of animation production services and is recognized as the work is completed. This helps reduce the volatility of results over quarters as the production services revenue and the large number and size of contracts provides consistency in revenue flows. Projects with significant revenues during the current quarter include Marvel’s Spidey and His Amazing Friends, Zombies: The Re-Animated Series and CoComelon Lane. Licensing and distribution revenue was $2.7 million for the current quarter, 45% lower than the revenue of $4.9 million recorded last year for the same period. For the nine months period, licensing and distribution revenue was $19.2 million, 44% lower than the $34.3 million recorded last year. The decline is as a result of fewer projects being produced and delivered during the current year. In the current quarter, revenue was recognized from the delivery of eight episodes of the unscripted series, Timber Titans. In the comparative quarter, 13 episodes of the unscripted series Heavy Rescue: 401 were delivered as well as the recognition of a distribution contract for the first season of Reginald the Vampire. Revenue from Reginald the Vampire Season 2 will be recognized in the fourth quarter of fiscal 2024 as that season recently premiered on Syfy and CTV's Syfy Channel. The company reported net income after tax of $5,000 for the current quarter compared to a net loss after tax of $2.3 million in the same period last year. For the nine months period, the company has generated a net loss after tax of $100,000 in fiscal 2024 compared to a net loss after tax of $2.4 million last year. This improvement has been driven by a reduction in general and administrative costs, as well as amortization of property and equipment and intangible assets. Adjusted EBITDA for the current quarter was $3.3 million, compared to $3.7 million for the same period last year. This is a reduction of 11%. For the nine month period, adjusted EBITDA was $9.7 million in the current year, a reduction of $2.4 million or 20% from the $12.1 million generated in the same period of last year. The main driver of this decline is the reduction seen in IP deliveries in the current year. Free cash flow for the current quarter was $13.4 million compared to negative cash flow of $15.8 million, which was recorded for the comparative period last year. For the nine month period, free cash flow was $11.4 million for fiscal 2024 compared to a negative $3.7 million last year. The significant increase is due to the receipts of accounts receivable and collection of tax credits in the current period. As we've mentioned on previous calls, the recovery in the content creation market has been slower than we anticipated with major buyers implementing cost cutting measures and green light activities decreasing. This has been managed by ensuring our teams continue to create and deliver work of the highest quality to our customers coupled with active cost management of our own. During the earlier part of the year, strategic cost reduction measures were implemented with the expectation of yielding cumulative savings exceeding $3 million for fiscal 2024. At the end of the current quarter, the business continued to operate in line with expectations and we witnessed healthy levels of activity with our customers. One notable development was the expansion of one ongoing animation production in the current quarter, which will result in approximately 30% additional revenue over the term of this project. This expansion represents additional secured revenue for the company for fiscals 2025 and 2026 and will positively impact results for both years respectively. The short term financial impact from this expansion is a slight reduction and expected revenue from that production during the fourth quarter. This is because the company is required to recognize revenue based on the percentage of the project completed within the period. While there are several compensating factors with other productions to counter this change, we now expect Thunderbird's total revenue to be approximately 3% less than the prior year. In spite of this, the company anticipates adjusted EBITDA growth for fiscal 2024 to be above 20%. This projection is based on the completion of an additional 16 hours of IP delivery in the fourth quarter of the fiscal year, bringing the total IP delivery for the year to 53 hours. As Jen mentioned earlier, for the quarter ended March 31, 2024, Thunderbird reported its second consecutive profitable quarter and we continue to expect the final quarter of the year to be our most robust. We remain steadfast in our commitment to maintaining a resilient balance sheet and exercising prudent management decisions in an evolving market while pursuing sustainable growth. With this, I'll pass back to Jen to continue her corporate update.
Jennifer Twiner-McCarron: Thank you so much, Simon. During this quarter, the company had 22 programs in various stages of production and was working with 18 clients. Of the 22 programs in production, seven were Thunderbird IP and 15 were service productions. Thunderbird Kids & Family producing under Atomic was in production on 16 programs and working for 11 clients, including CoComelon Lane for Moonbug and Netflix, Marvel's Spidey and His Amazing Friends Seasons 3 and 4 for Disney Junior, Zombies: The Re-Animated Series for Disney TVA, and Atomic Originals' Mermicorno: Starfall for Warner Brothers, Discovery and Super Team Canada for Crave. Super Team Canada is being produced alongside Will Arnett's Electric Avenue and cocreated by Canadian comedy writers Robert Cohen and Joel Cohen. It represents Atomic's first adult animated original series and Crave's first commission of an original animated series. There will be some updates on this series shared by the broadcaster in June, so stay tuned. Thunderbird Unscripted, producing under Great Pacific Media, was in production on five unscripted programs, one scripted and one podcast and was working with seven clients. Productions include Dead Man's Curse season 3 for History Channel, Wild Rose Vets Season 1, a spin-off of Dr. Savannah Wild Rose Vets for APTN, Timber Titans Season 1 for Discovery, Rocky Mountain Wreckers Season 1 for Discovery Canada and The Weather Channel USA, and Highway Thru Hell Season 13 for Discovery. Season 13 will also see the historic hit, a historic 204 episodes. Great Pacific Media's Highway Thru Hell also broadened its distribution in Q3 and can be viewed on two FAST channels, which are free ad supported streaming TV channels. One is part of a partnership with Banijay Rights that launched in the spring in the UK and Australia and also features Heavy Rescue: 401. Bell Media launched the second with the CTV Gridlock channel now featuring classic episodes of Highway Thru Hell and the entire series of Heavy Rescue: 401. As the monthly costs for streaming service subscriptions can add up for people, more and more consumers are paying attention to FAST channels, balancing watching advertisements with the no fee offering. In the US alone, you can access more than 1,000 channels and thousands of films and TV shows through FAST TV. A new report from Circana also found that FAST platforms now have a daily audience reach of 19.7 million US households. It's pretty spectacular to have Highway and Heavy Rescue featured on two FAST channels, allowing a growing audience to access these shows and find our work. Speaking of new content mediums, Deadman's Curse: Slumach's Gold companion podcast Season 2 is also in production. This historical true crime podcast is hosted by Kru Williams, who is recognized from History Television and also as a main character in the hit series. This podcast was the recipient of three Signal Awards, including a Gold history podcast, a Silver for writing for an unscripted podcast, and a Lister's Choice Award for writing for an unscripted podcast. It was also named to Amazon Music's Best of 2023 list for Canadian podcasts. In Q3, Great Pacific Media was also working on Season 2 of Reginald the Vampire, which premiered this month on CTV Syfy. And recently, it was also announced that Fox's ad supported streamer Tubi another FAST channel platform has commissioned The QB Bad Boy and Me, an original movie based on a Wattpad story that is being produced by Great Pacific with Blue Fox Entertainment managing international distribution. Blue Fox has just announced sales to partners in Germany and Austria, Latin America, Spain, Portugal and South Africa, France, Switzerland, Turkey, Scandinavia and Eastern Europe, excluding Poland. Filming starts in Victoria on May 29th. Lastly, the scripted team based in Los Angeles currently has 12 scripted projects in development, three of which are already in active network development. This concludes the corporate update. And before we open things up for questions, I would also like to thank Matthew Berkowitz for his many contributions to Thunderbird as president and CEO before he leaves us at the end of the month. His amazing work will be carried on by our incredible team in Los Angeles, and we will be finding ways to work with Matt again. Our leadership team remains mighty and nimble and we have the right individuals in place to carry Thunderbird forward, delivering exceptional results that will maximize shareholder value as our story continues to grow and evolve. Thank you all so much for listening in. We're now happy to answer all questions.
Operator: [Operator Instructions] And our first question today is from the line of David McFadgen of Cormark Securities.
David McFadgen: So a couple of questions. You cited just overseeing the industry that with the strike’s over, it just seems like the industry is a bit slower in terms of getting back to normal. And the streamers are a little more focused on profits, a little more picky at commissioning new content. So we know it's -- but you've had some impact in '24. So do you expect that to linger into '25 as well? Just kind of wondering what kind of growth we might expect in 2025.
Jennifer Twiner-McCarron: Why don't I speak to the qualitative and then turn over to you, Simon, for the quantitative. I think what we're seeing now is the industry is starting to recover, slowly but surely. There are some forms of consolidation happening. You see streamers starting to bundle with Disney, Hulu, Max with an offering. And the reality is that they all need content. They need to put up new high quality content to attract and glue subscribers. And Thunderbird is well known as a destination of choice for that content and increasingly so is Canada. As they look to increase profitability, our tax credits, our talent, our exchange rate, has become more attractive than ever. So these are really positives as we see things evolve. And within the industry, it's widely believed that in the summer and towards the fall, we will continue to see things pick up, and we're already seeing all of the signs pointing in that direction. Despite all that, our company has remained incredibly healthy, profitable, growing, and that is because of the great work the teams are doing. Simon, I didn't know if you wanted to add to that at all.
Simon Bodymore: Jen, the call dropped me off completely. I've just rejoined, so I missed that question.
Jennifer Twiner-McCarron: I'm glad you're back. Dave McFadgen was asking about with the strikes, how the slowdown has affected us and when we see the recovering. I answered that part. But David, I think the second part of your question was asking about visibility into growth in '25 and '26. Is that correct, David?
David McFadgen: Yes. Just wondering what kind of growth investors should look for in '25.
Simon Bodymore: At this time, we're not offering guidance on 2025 as a fiscal year. But what I will say is we have a good proportion of our studio capacity filled up already and we have good visibility into next year. So I think Jen has mentioned in her part of the script that we expect to return to kind of more robust growth than kind of previous profitability levels. So we see that the future is looking a little bit more visible for us, which is good. But as things kind of fall out, we're not actually providing guidance for next fiscal year fully at this time.
David McFadgen: So would you -- when you report your fourth quarter, I guess, you would expect to give some sort of guidance then. Is that correct?
Simon Bodymore: We will. Yes, that's correct. We will.
David McFadgen: And just wondering, when we think about the outlook for the business. Where do you see more growth, do you see it on the service side of the business or do you see it more on the proprietary side of the business?
Jennifer Twiner-McCarron: I see it both. They're extremely complimentary, which is why we've continued to pursue both equally. Our studio's pension for handling major global brands has served us and continue to serve us very well, because we get paid as we go for service. It allows for the healthy cash flows you see within our financials and you get paid upon deliveries for IP. So it helps smooth things out. It helps reinvest some of that money into building long term value of our company with IP. So we consider them of equal importance. We've had a lot of growth in production services that will continue but we also have a lot of IP teed up that we always can't speak of right away. So I hope that answers your question.
Operator: [Operator Instructions] With no further questions on the line, this will conclude today's call. If you have any questions, please call +1-604-683-3555 or email investors at thunderbird.tv. Thank you.